Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Textron First Quarter 2018 Earnings Conference Call. At this time, all participants are in listen-only mode. Later we will conduct a question-and-answer session. [Operator Instructions] As a reminder, today’s conference is being recorded. And I would now like to turn the conference over to our host, Eric Salander, Vice President of Investor Relations. Please go ahead.
Eric Salander: Thanks, Brad, and good morning, everyone. Before we begin, I’d like to mention we will be discussing future estimates and expectations during our call today. These forward-looking statements are subject to various risk factors, which are detailed in our SEC filings and also in today’s press release. On the call today, we have Scott Donnelly, Textron’s Chairman and CEO; and Frank Connor, our Chief Financial Officer. Our earnings call presentation can be found in the Investor Relations section of our website. Textron’s revenues in the quarter were $3.3 billion, up $203 million from last year’s first quarter. Income from continuing operations was $0.72 per share, up from $0.37 per share or $0.46 on an adjusted basis in last year’s first quarter. Manufacturing cash flow before pension contributions reflected a use of cash of $158 million, compared to a use of cash of $227 million last year’s first quarter. We also announced that we have reached a definitive agreement to sell our Tools & Test business to the Emerson for approximately $810 million in cash. With that, I'll turn the call over to Scott.
Scott Donnelly: Thanks, Eric, and good morning, everybody. Segment revenue was up in the quarter in Industrial, Bell, and Aviation, partly offset by lower revenue in systems consistent with our expectations. The Bell revenues were up on higher military volumes for the quarter. On the commercial side, we delivered 46 helicopters, up from 27 in last year's first quarter. We continue to see positive customer reaction to the 505 as we ramp production and deliveries, the first units delivered to European customers in the quarter. We also continue to see international demand for the 412, closing two multi-aircraft orders. At HELI-EXPO in February, we showcased our innovation and leadership on the commercial helicopter market with the unveiling of 407GXi, featuring a new Garmin avionic system and an upgraded FADEC controlled Rolls-Royce engine. We also announced Air Methods Corporation as the launch customer with an order for six of these new aircraft. On the new product front, following the first flight of V-280 Valor in December, the aircraft continues to demonstrate its agility and maneuverability, hitting new milestones in the early stages of a flight test program as it moves towards operation in full airplane mode. Each milestone represents another step forward in creating the next-generation of tiltrotor aircraft. The aircraft was flown by U.S. Army experimental test pilot, representing a great opportunity to put the aircraft in the hands of our military customer. Moving to Systems, revenues were down on lower volumes, primarily weapons and sensors related to the discontinuance of the SFW production line. During the quarter, Unmanned Systems received two test orders for the Aerosonde with a combined value of $97 million from NAVAIR in addition to a $28 million logistics support contract for the U.S. Army. At Marine and Land Systems, we are making good progress on the ship to shore program as the first craft began on water testing earlier this month and will proceed to builders trials next with delivery scheduled for the summer. At TRU simulation and Training, we signed a purchase agreement for an A350 full flight sim with Airbus, and we are also chosen to provide the first-ever full flight simulators for HR600 aircraft models for Japan Air Commuter and Ansett Aviation training Australia. At Industrial, we saw a 14% increase in revenues with growth in each of our businesses. Overall, margin was down reflecting the additional Arctic Cat operations in the quarter as compared to the prior year due to the March 2017 timing of the acquisition and the first quarter seasonality of the outdoor Powersports business. We saw higher volumes in our growing GSE product line and also received the first order for the innovative new TUG ALPHA 4 aircraft pushback, booking five units for delivery to UPS later this year. Within our Textron off-road product line, we unveiled the new Wildcat XX side-by-side designed with an off-road racing inspired suspension system, delivering best-in-class performance. At Arctic Cat, we introduced our new Mountain Snowmobiles, with our ground-breaking Alpha One single beam rear suspension system, further demonstrating our industry leading product innovation. Moving to Textron Aviation, revenues were up 4% in the quarter. We delivered 36 jets, up from 35 last year and 29 commercial turboprops, up from 20 last year. These deliveries reflect an improved mix of models across our jet and commercial turboprop product lines. We saw continued order strength in the quarter, with a number of multi-aircraft orders, including five Caravans for service into Papua New Guinea and two special mission King Airs configured for an air ambulance fleet in Australia. In February we attended the Singapore Airshow where we announced Latitude has been granted certifications in China and Australia, demonstrating our commitment to the Asia-Pacific region. We also had our first two Latitude deliveries into China in the quarter. For the second consecutive year, the Latitude earned the title as the most delivered business jet in the midsized category. On the new product front, we continue to work towards certification of the Longitude, which we expect later in the second quarter. The Longitude made its APAC debut at the Singapore Airshow successfully circumnavigating the globe and demonstrating its commanding performance and reliability to customers along the way. We also made progress on the SkyCourier, successfully completing wind tunnel testing as we look to develop this aircraft on an accelerated time line. The Denali is tracking to its development schedule and continues to generate a significant amount of customer interest. Our AT-6 Wolverine aircraft was chosen by the U.S. Airforce to participate in the second phase of Light Attack Experiment program which begins in the second quarter. Lastly, we have agreed to sell our Tools & Test business to Emerson. While Tools & Test has been an important part of our industrial portfolio for many years, this transaction represents a good return for our shareholders and positions the business for future success as part of Emerson. With that, I’ll turn the call over to Frank.
Frank Connor: Thank you, Scott, and good morning, everyone. Segment profit in the quarter was $279 million, up $60 million from the first quarter of 2017 on a $203 million increase in revenues. Let’s review how each of the segments contributed starting with Textron Aviation. At Textron Aviation, revenues were up $40 million from this period last year primarily due to higher price and volume. Segment profit was $72 million, up from $36 million a year ago due to favorable volume and mix, performance and price. Backlog in the segment ended the quarter at $1.6 billion. Moving to Bell, revenues were up $55 million, primarily due to higher military volume, partially offset by lower commercial revenues due to the mix of aircraft sold. Segment profit increased $4 million from the first quarter in 2017, primarily reflecting the higher volume. Backlog in the segment was $3.6 billion at the end of the quarter. At Textron Systems, revenues were down $29 million, primarily due to lower volume at Weapons and Sensors related to the discontinuance of SFW production in 2017. Segment profit was up $30 million primarily reflecting improved performance at marine and land. Backlog in the segment was $1.4 billion. Industrial revenues increased $139 million largely related to favorable foreign exchange, the Arctic Cat acquisition and higher volumes. Segment profit was down $12 million, despite the increase in revenues from the first quarter of 2017 due to the timing of the Arctic Cat acquisition in the prior year. Finance segment revenues decreased $2 million and segment profit increased $2 million compared to last year’s first quarter. Moving below segment profit, corporate expenses were $27 million and interest expense was $34 million, both flat with last year. We also repurchased 5.9 million shares returning $344 million in cash to shareholders. To wrap up with guidance, we are reiterating our expected full year EPS from continuing operations of $2.95 per share to $3.15 per share. We also continue to expect cash flow from continuing operations of the manufacturing group before pension contributions of $700 million to $800 million. This guidance includes the expected impact of the Tools & Test divestiture on earnings per share and cash flow from continuing operations. That concludes our prepared remarks. So, Brad, we can open the line for questions.
Operator: Of course. [Operator Instructions] We do have a question from the line of Carter Copeland with Melius Research. Please go ahead.
Carter Copeland: Hi. Good morning, gentlemen.
Scott Donnelly: Good morning.
Carter Copeland: Scott, just on Aviation, I was wondering about the margin performance there, ex the fall off in Scorpion R&D, you still had a pretty good year-over-year improvement there. I wondered if you might give us some color on how much that profit improvement was mix related versus overall price and maybe how are aftermarket sales in the quarter. Any color you can give us there would be helpful?
Scott Donnelly: Well, it’s kind of all of the above, Carter, I mean, I think, our volume, obviously, was up a little bit but the mix was favorable in there. Teams continue to do a good job on the performance side in terms of cost, and therefore, delivering better margin on some of the models, and as we have been talking about, we continue to push for incremental gains on the price side and we saw that as well. It certainly helped to have some more turboprop, as you know a year ago turboprop was particularly light and so we were pleased to see some volume coming back in both the King Air and Caravan lines as well.
Carter Copeland: And on the aftermarket?
Scott Donnelly: So aftermarket was good performance. You’ll see in the numbers just from a percent standpoint not as large an increase as we have been seeing and that’s largely because we have had a small change driven by some of the 606 in terms of how we treat some engine programs. So the topline will look sort of a low-single digit versus the reality of without actually counting high-single digit and good performance there as well.
Carter Copeland: Okay. And then one last one and then I’ll give -- the order momentum through the quarter, I mean, I know January is always a light month and February can be as well. Just in terms of the conversations with customers and what the sales team is seeing, how is that evolving over the course of the last three months and even what you’re seeing in a real time?
Scott Donnelly: Well, we think it remains pretty strong, and you’re right, usually the first quarter, January and February are pretty quiet. We continue to see relatively strong order bookings in that, so it’s driven positive book-to-bill across both jet and turboprop lines, which is good.
Carter Copeland: Okay. Thanks, gentlemen.
Scott Donnelly: Sure.
Frank Connor: Thanks.
Operator: And we do have a question from the line of Sam Pearlstein with Wells Fargo. Please go ahead.
Sam Pearlstein: Good morning.
Scott Donnelly: Good morning, Sam.
Sam Pearlstein: Scott, you’ve talked a lot, I guess, over the years about just driving earnings growth and seemed reluctant, it seems to divest some of the lower return businesses, because of earnings dilution. And I guess just based on the early reaction, certainly stockholders seem to like this, but given the buyback activity. But does this influence your views in terms of thinking about the mix of businesses, the portfolio whether it makes sense to get out of certain lower return businesses?
Scott Donnelly: Well, I am not sure, I wouldn’t categorize the Tools & Test business as a low return business, but I think that our stated position with respect to any disposition is that we are going to run these businesses to the best of our ability and make the right investments in them and we certainly have done that in the Tools & Test segment both organically, as well as acquisition and with the intent to make it a great business. On the other hand, if somebody comes along and says, look, we value that business and think it’s a better fit in our portfolio and puts something on the table that we think is good for our shareholders, as well as something, obviously, they think is good for their shareholders then we are open to entertaining a transaction and that’s exactly what happened here. Tools & Test is a good business. I think it’s well-positioned in the marketplace. It’s performed well for us. But I think when you look at the Emerson and it serves a much larger footprint obviously into that kind of customer base and channel, they feel that it’s a – it would be a better part of their business, and so I think that allowed a transaction to happen that is good for Textron and Textron shareholders, and in all likelihood a very good thing for Emerson and Emerson shareholders as well.
Sam Pearlstein: Okay. And I think when you started the year you usually put a placeholder in for making acquisitions yourself and that if you don’t find any, we see a step-up in the buyback. So if I just think about the first quarter’s buyback plus this, can you comment at all about the acquisition pipeline or what you’re seeing, because it would seem like you probably aren’t seeing a lot that’s going to come to fruition.
Scott Donnelly: Well, Sam, we always keep an eye out for transactions. I mean I don’t think there is any particularly large thing out there that I see on the horizon. There is always a number of things that we are looking at that are logical bolt-ons to the businesses that we have today. But in general, though, Sam, I would say, I think that, given our balance sheet position, we are very comfortable to proceed with the level of buyback activity that we have talked about. Obviously that will step up in terms of the use of the cash from the disposition. If something comes along that makes sense for us, I think, we have plenty of room to be able to manage that on our balance sheet through debt financing and stuff like that. So I think we are very comfortable with the level of buyback that we have in our plan regardless of whether M&A opportunities pop up or not.
Sam Pearlstein: Okay. Thank you.
Scott Donnelly: Sure.
Operator: And we do have a question from the line of Sheila Kahyaoglu with Jefferies. Please go ahead.
Sheila Kahyaoglu: Hi. Good morning, Scott.
Scott Donnelly: Good morning.
Sheila Kahyaoglu: Maybe if you could further elaborate on the Aviation backlog, sort of what drove the strength there? It was up $400 million on a sequential basis, was that mostly Longitude jumping in and then, if you could just comment on the certification, and is it expected later in Q2 and delivery starting in Q3?
Scott Donnelly: So, as you know, we don’t do a model-by-model backlog. I’d say, if you look at the Textron Aviation backlog, Sheila, there was some increase on the defense side, really largely driven by 606. There were some service contracts that were longer term, which are now all booked in there, but we had strong book-to-bill on the jet product line as a whole and we had strong book-to-bill on the turboprop line as a whole. So, it was really, I would say, pretty strong bookings across all segments of the business. In terms of Longitude, we do expect it to certify here in the quarter. We are kind of in last flights. There are a couple of delays that we would like not to have had but it’s nothing serious, everything is flying well. We just had some last test flights to accomplish and some last builds. So everything is going well and we would expect that will happen here pretty soon. Whether we get one into the second quarter or the first sales happen in the third quarter is still sort of TBD, I mean, the nature of this aircraft, obviously, is it does have a little more customization on the interiors than a lot of other aircrafts. So it will – it really will just depend on what timeline we get the final FA paperwork done and whether we can turn that around in time to get it in Q2 or certainly we would at worst case fall into Q3.
Sheila Kahyaoglu: Okay. And then just one on your military portfolio, maybe if you could comment on my favorite two programs the Scorpion and Future Vertical Lift, sort of what the timelines and hurdles look like for those two? Thanks.
Scott Donnelly: Well, on the Scorpion, we are continuing some international customer activity. We just had a customer in a couple weeks ago. So those dialogues continue. On Future Vertical Lift, we continue a lot of dialogue, obviously, with the army and the Marine Corps, said, we have had the army now flying the aircraft. They are certainly very bought into this program and a very active partner in its development. We are working really at this stage of the game on envelope expansion which is going very nicely. So team is doing a great job on that. The army is following very carefully. Now how this all works out through their budget cycles and still remains to be determined. I think, obviously, our view is that we could deliver aircraft and a lot of capability at a much faster rate than what’s currently budgeted into the army budgets and just sort of the general thinking in terms of how long it takes to develop a new aircraft like this. But we are going to just continue to do our thing and demonstrate the maturity and capability of the aircraft and go from there.
Sheila Kahyaoglu: Okay. Thank you.
Operator: And we do have a question from the line of Peter Arment with Baird. Please go ahead.
Peter Arment: Hi. Good morning, Scott and Frank.
Scott Donnelly: Good morning.
Frank Connor: Good morning.
Peter Arment: Hey, Scott, on Textron Systems, really nice margin performance there. How should we think about that, I mean, you mentioned land and marine is improving, but it seemed pretty significantly well above our expectations. Are you – is this kind of outlook sustainable or how should we think about the overall performance there?
Scott Donnelly: Well, I don’t think this margin rate is sustainable through the course of the year, right. I think it will revert and we feel pretty good about our guidance in terms of what we gave you guys. So we’ll see some lower margin rates as we move on through the course of the year. But, on the other hand, I think the team is performing well. TAPV, we have talked about a lot over the years and we are just working our way through those last deliveries, but the program is executing as we expected. On ship-to-shore, the team is doing well. I mean, obviously, we are in integration and test, which is always a challenging time, but the team is making great progress. As we said, we actually have had the craft on the water, so it’s operating and is going to enter into builder’s trials here pretty soon. And of course, the good news is on the appropriate authorized, our appropriated levels of the craft are in great shape, and we are working with our customer right now on that production proposal and we’d expect that we would have something signed later this year and be able to start to see production moving. We already have some long leave material and advanced activity going on to make sure that there is no line break as part of this process, and I say, we have worked well with the customer to make sure that that’s the case, but we are working through the details now on the first production contract.
Peter Arment: Yeah. That’s helpful. And just a quick follow up, on Bell the deliveries were up really nicely year-over-year, 505, 407 continue to be strong. What are you seeing in that particular end-market that’s really driving this?
Scott Donnelly: Well, we have really seen strength around the world, particularly the light ends, the 505, as you say, that’s really just been us having to ramp production and meet the demand for that product, which has been very strong. So we are, obviously, very pleased to see the production rates coming up and the number of units going up. 407 continues to be strong, I think the GXI also was well-received and we have strong demand in there as well. 412s and 429s, as you know, particularly 412s tend to be back-end loaded just in terms of deliveries, and I think, that’s certainly what we expect we’ll see over the course of the year.
Peter Arment: Thanks, Scott.
Operator: And we do have a question from the line of Noah Poponak with Goldman Sachs. Please go ahead.
Noah Poponak: Hey. Good morning, everyone.
Scott Donnelly: Good morning, Noah.
Frank Connor: Hi.
Noah Poponak: Scott, just going back to the notable change in the Aviation backlog and I recognize you don’t want to get too granular there, and I understand and respect that. But I think a lot of your stakeholders are sort of watching closely to see what’s happening in the legacy business jet market. So I wondered just given the many moving pieces that can happen there with Longitude and Latitude and the Defense side, if this time around you’d be willing to quantify what the book-to-bill was in the pure in production Cessna jet market?
Scott Donnelly: Well, we are certainly not going to go into any more granular breakdown in the backlog. But I would say that we are – we had a strong book-to-bill in Citation jets, including all of our legacy models as well, as well as in the turboprop side, which is inclusive of both the King Air and the Caravan. So I think market demand continues to be strong and we see that reflected in our book-to-bill in the backlog.
Noah Poponak: So it’s safe to assume the in-production jet bookings compared to revenue was in the zone of what the total segment was?
Scott Donnelly: Yes.
Noah Poponak: Got it. And then on the pricing discussion there, can you help us out with sort of order of magnitude there? I mean, what kind of pricing increases are you seeing at this point and I guess how much has price come up off the trough at this point and I -- where I am going is sort of if backlog starts to build, it will be interesting to see how you decide to – you get asked the question if you’ll raise production. But it seems like you would maybe actually just potentially let price keep going for some period of time given the success you’re having there and what that does to earnings in the segment before you raise production?
Scott Donnelly: I think that’s true, Noah. We have been saying that we will trade price for volume. I think these aircraft, we -- I mean, I can’t tell you we are going back to trough, I guess, I mean, we look at the data on more of a year-over-year or incremental subsequent quarter basis, which is how we measure our sales teams obviously. So as we look at the price targets and the performance for that, we are putting that higher on the list than just driving volume. This aircraft and we are getting price increases, we continue to get price increases, but they are still at price levels that we are not very happy about. I mean, what we are – as the team did a great job in the quarter. I think we are continuing to execute well on a lot of fronts. But the amount of capital, the amount of investment that you make in this business, warrants getting a better return and we need to see better pricing in the end market and so that’s the trade we are making. We are walking. We have been walking away from deals that are at price levels that are just not acceptable to the business.
Noah Poponak: Got it. Really helpful. Just one other quick one, the Bell, if I take the Bell Commercial and Military units and price on the OE side, plus the comment that total Commercial revenue was down, which kind of tells me roughly where Commercial aftermarket was, it seems like Military aftermarket was up like 75% or something like that, is that accurate and if so, what’s going on there?
Scott Donnelly: Noah, I mean, I can’t follow exactly your math, but the Military aftermarket was up, but it was certainly not up anywhere near the percentage you’re talking, I think…
Noah Poponak: Okay.
Scott Donnelly: … there is probably a little bit of our effect again, I hate getting into the 606 stuff, okay. But there is some benefit just from a quarter when you look at year-over-year in terms of the way the 606 stuff is done, particularly the Military side of Bell, because it’s impacted by this, that, again over the course of the year, it’s not going to make a whole heck of a lot of difference, but the way it falls out in the year, there is a little bit stronger revenue on the Military side here in Q1 than you’ll see through the balance of the year, because it’s a little flatter given the way the accounting is done under 606 as opposed to the unit delivery that we historically have had.
Noah Poponak: I see. Got it. Okay. Thanks so much.
Scott Donnelly: Sure.
Operator: And we do have a question from the line of Robert Stallard with Vertical Research. Please go ahead.
Robert Stallard: Hi. Thanks so much. Good morning.
Scott Donnelly: Good morning.
Robert Stallard: I think I’ll follow up on Noah’s question on the pricing environment in business jets, whether you’re seeing your competitors holding to similar levels of price discipline? And whether your overall market share is relatively constant?
Scott Donnelly: Well, look, I don’t know that I could comment that there is anything dramatically different in terms of the behavior that we are seeing out there. I mean it’s a very competitive market obviously, and that’s the nature of the end market. So we are continuing to hold on as I said our price line, because we need to get pricing up. Now, do we lose deals because of that? I mean there’re certainly or probably deals where we lose a deal because someone is willing to go to a lower price level. But we are a pretty big part of the market, and we need to hold the line, and we’ll deal with our pricing if - I think you have to leave the competitors to deal with their pricing.
Robert Stallard: But in terms of market share, are you comfortable with where you stand in the moment relative to perhaps 12 months ago?
Scott Donnelly: No, I think so. I think if you look in the quarter, we are pleased with the demand and how we are doing in both the light and the midsize aircraft, which is I think it’s strong. And I think that’s because our products are well regarded. Our service network is well regarded. I think we have a strong brand, and generally our customer repurchase rates are very high. I think our team does a good job of managing the customer so that it’s a win for the company and it’s good for them. So they’re popular products.
Robert Stallard: And then a couple quick questions for Frank on the disposal. Wondering if you can give us the post-tax cash proceeds that you expect? And also what was your anticipation of the operating cash contribution from this business for the year? Thank you.
Frank Connor: Yes, the after-tax and everything we’ll net about $725 million from the disposition. And again, from a cash standpoint, there is some cash impact, but we’ll absorb that within our guidance and the performance of the other businesses.
Operator: And we do have a question from the line of Seth Siefman with JPMorgan. Please go ahead.
Seth Siefman: Scott, I wonder if you can talk a little bit more about future vertical lift? And from your point of view how much it matters or if it matters if the Army goes ahead first with a medium lift kind of aircraft? Or looks to do a reconnaissance helicopter first under future vertical lift?
Scott Donnelly: Well, look, I think it does matter. The Army Aviation folks are continuing to look at what their requirements are. Obviously a couple or several years ago, right took the Kiowa Warrior out of that and stated they were going to do that with unmanned aircraft. And that’s sort of the path they have been going down. Cape Set 3, which is really where the V-280 is aimed we think is an important part. And certainly when they talk about their need for assault and that sort of long-range capability, we think that’s where the V-280 really shines. So the Army Aviation will obviously continue to do their work and decide how they want to handle different programs. I think obviously Army Aviation has to fly a number of different missions and a number of different aircraft. So I think that view will obviously evolve over time as it always does, and we’ll continue to work with them and emphasize the capability of the V-280 and the role and impact that we think it can have on Army Aviation. If they elect to do something more in that so-called Cape Set 1 category, then we’ll obviously be engaged and talk to them about how you solve that requirement.
Seth Siefman: And do you see a time frame for when the Army might make that determination?
Scott Donnelly: No, I don’t. I think there is just a lot of work going on, and it will evolve over time, I am sure.
Operator: And we do have a question from the line of Peter Skibitski with Drexel Hamilton. Please go ahead.
Peter Skibitski: Scott, not to belabor the aviation backlog question, but the fact that it’s up so much sequentially at a time when tax reform is coming into play here, I am wondering would you use the term kind of the dam bursting in terms of the return of Bizjet demand, or is that too strong language?
Scott Donnelly: I don’t know, Peter. I wouldn’t say dam bursting. I think the tax reform obviously is part of it. I think more importantly, business confidence is strong. People are looking to invest. It’s been frankly a long time. A lot of people out there who have aircraft that are certainly getting older. They are upgrading a lot more infrequently than they used to because we went through some of those down years that there is some natural demand in the market. And that’s I think driving positive backlog. Like I say, I don’t know the dam bursting. I mean I’d like to say that it’s not crazy, but there is natural demand. People are out there and looking to upgrade aircraft, and that’s why we have seen I think a solid order flow.
Peter Skibitski: Is the increase mainly domestic? Are you seeing any kind of outside impact from international demand?
Scott Donnelly: Well, jet is still mostly domestic. Although we are seeing some improvements in the international market as well on the jet side. When you look at turboprop, that’s a more balanced demand in terms of international and domestic. I think importantly when you looked at the first couple quarters last year, the international market was pretty quiet on the turboprop side and obviously we have seen that come back more notably on turboprops which is obviously very important for us because that does generate a lot of demand for both the King Air and the Caravan families.
Peter Skibitski: And then just last, I just want to ask on the 412s, I think I read that some activists or whatever you want to call them in Canada quashed a sale of - pretty sizable sale of 412s to the Philippines. Is that sale completely dead, number one? And number two, it sounds like you closed two other 412 orders in the quarter. So are we still pretty level, pretty decent shape for the 412 over the next couple years despite that one sale being sort of quashed, I guess is the term?
Scott Donnelly: I think so. There is a lot of 412 activity going on. As we said, there were a couple nice 412 deals that closed in the quarter, and as you know, 412 has a lot of international demand. So foreign deals are always fluid right up until they close. So there is a lot of 412 activity, and we feel pretty good about where that demand is, so I think it will play out well through the year. Again, on a delivery basis it does tend to be more towards Q3, Q4.
Operator: And we do have a question from the line of David Strauss with Barclays. Please go ahead.
David Strauss: Wanted to ask about the backlog at Bell down a fair amount. Was there any 606 stuff going on there?
Scott Donnelly: Well, there was some 606 that went in there. But as you know, David, because of the military side of Bell, it tends to be very lumpy, right. And I think what you’ll see is that will continue to go down sort of its normal cycle through the year. However, when we get to the point where we sign multiyear three which the negotiations seem to be going well and I will expect that will close here in the not too distant future, when that happens, you’ll see because of 606 not just a one-year add of backlog as we used to do but all five years would go into backlog. So you’ll see a dramatic increase and that would bleed down over the course of five years. The issue around 606 on particularly something where you’ve got a lot of military and multiyear type deals like we would do on the V-22, you’re going to see some real peaks and valleys around that.
David Strauss: And then I wanted to follow up on working capital in Q1 and then the cash flow forecast. So it looks like working capital was a pretty significant drag, but inventory was actually down it looked like year-over-year. Receivables were down year-over-year. So just what’s going on there? And then your cash flow from ops forecast it looks like not by a lot but actually went up just a little bit. Does that already include stripping Greenlee out? And if so, what’s going on there? Thanks.
Frank Connor: Yes, I mean, again there is some geography change again as a result of 606 that gets - makes the translation from year-end to quarter-end difficult. Working capital was I think we did a nice job on working capital in the first quarter. It’s always seasonal. We did see a little bit of inventory build, but it was better than last year. Some things because of 606 shift out of inventory and into other current assets because they’re contract assets now. You see a little bit of that happening on the accounts receivable side as well. But overall, good quarter from a cash flow standpoint again relative to where we typically are in the first quarter. For kind of full year, as we said, there will be some operating cash flow impact associated with the divestiture of Tools & Test, but we’ll absorb that within the forecast and kind of make up for that with better cash performance in other areas.
David Strauss: And then, Frank, any change in the tax rate expectation for the quarter? It was pretty low in Q1.
Frank Connor: No, we had some discrete items in Q1, but kind of the rate that we had indicated for the full year is still the right guidance to think about.
Operator: And we do have a question from the line of Cai von Rumohr with Cowen & Company. Please go ahead.
Cai von Rumohr: In the 10-K and 10-Q you said that price was a $20 million year-over-year plus at Aviation in the third and fourth quarter. What will that number look like in the first quarter?
Frank Connor: Cai, it sounds like you’re having some office renovation work done. Can you repeat that?
Cai von Rumohr: Yes. The price was a $20 million plus for Aviation in the third and fourth quarter. What was it in the first quarter?
Frank Connor: So price net of inflation in the first quarter will be about $9 million.
Cai von Rumohr: And was there any impact - it looks like your book-to-bill at Aviation was 1.4. You mention 606. If we’d use 606 would that change the backlog at year-end? So is it really a 1.4 book-to-bill? Or would it be a lower number?
Frank Connor: No, I mean, there was an impact, as Scott said, of 606 that brought some defense service business into backlog. So that’s in it. But we still have kind of strong order activity and strong book-to-bill, as we said, in both jets and turboprop. We are not going to get into the kind of specifics of each of those, but those types of numbers are directionally correct.
Scott Donnelly: Yes , as you know, we don’t calculate or publish that number for each of these categories, but your numbers are about right.
Cai von Rumohr: And then at Industrial, maybe update us in terms of clearing the channel overstock at Arctic Cat in terms of how the move to Augusta is going. And given that very low first quarter, are the full-year estimates still valid?
Scott Donnelly: I think, Cai, that the challenges we described in Q1 is, first of all, we had a couple months of Arctic Cat where we didn’t have that a year ago. And it’s a difficult quarter. I mean, I think the whole industry in outdoor power equipment when you look at this, the difficulty is that January, February into March time frame, you’re done selling snow, but you haven’t started selling dirt. So it tends to be a quarter where you have - basically you have the cost of the business, but you don’t have a lot of revenue within the business. So I think that’s just a natural cycle, and it doesn’t affect our perspective on how we feel about the year. In terms of the inventory reduction, we are pleased with - if you look at both dirt and snow inventory reductions that happened through the course of the year, which was a big focus of ours yielded a lot of results. So there is pretty significant reductions in that aged inventory. And so I think combined between that and the fact that we have a lot of new product that we think the dealers are pretty excited about, and you look across both the dirt and the snow product lines, you’ve got lower inventory of aged stuff and you’ve got a lot of exciting new stuff that’ll be on the floors that dealers are pretty excited about. So we feel pretty good about where we are for the year.
Cai von Rumohr: And the last one, could you quantify the EACs at Systems?
Scott Donnelly: Yes, we had good performance, but we don’t break out those by segment, Cai.
Operator: And we do have a question from the line of George Shapiro with Shapiro Research. Please go ahead.
George Shapiro: Scott, if we took out the Scorpion R&D, which we know went to zero in the quarter, how did the underlying R&D compare to last year’s first quarter?
Scott Donnelly: Well, I think, George, again, we don’t do this by segment by segment. But the color that we have provided and the way the quarter played out is that you’ll have modestly lower R&D spending in the Aviation business and modestly higher spending at Bell. So you’re right, Scorpion spending went down to virtually nil, but obviously we are still continuing on Longitude. We are accelerating everything we can do around the SkyCouriers and the Denalis so that’s all going well. And then obviously on the Bell side with 525 back in full flight test operations and the work that we are doing on V-280, we’ll see some increased spending there. So the way the quarter played out is pretty consistent with what our expectations are and the guide that we gave you. And I think that’s how it will play out over the year.
George Shapiro: And the fact that Longitude certification is getting delayed into the second quarter, that’s not going to affect the R&D level in the second quarter?
Scott Donnelly: No, it won’t affect the overall level. We have a little more activity going on later into the year than we would have liked on the Longitude side of things, but that’s flight testing and at this point not a huge amount of spend. Most of the R&D spend now has moved into Denali and the SkyCourier programs.
George Shapiro: And if I try and take out the Scorpion R&D and look at an incremental margin year-over-year, to me it comes out more like around 40% because obviously getting help by price-in mix this quarter. That would be a lot above what you’ve been saying of more around 20%, but is that the kind of number we should see going forward.
Scott Donnelly: I think we have talked incrementals George more around that 20, 25% range. I don’t know that we’ll go into the geography of all how that gets there, but that’s sort of our expectation in terms of conversion net of all of our costs and pricing and inflation and all things together.
George Shapiro: And the last one, Scott. So how many quarters of book-to-bill running like this before you sit there and have the increase the production rate even though you have been saying you’ll make the trade-off between price and production?
Scott Donnelly: Look, George, we don’t set a hard line on that. I mean, obviously we are looking at each model all the time, and looking at each individual backlog and its demand and how much activity is out there in the market, and as you know, we can flex a little bit here and there between different model types. But we feel good about where the market is right now. We try to take a fairly conservative view of this and make sure that we don’t start to produce more than the market demand is. I would absolutely continue our focus around driving price, driving efficiency in our operations. But if we see that a model is reaching a demand level that we can go tweak up a few aircraft, then absolutely we’ll do that. But only if we are seeing enough strong demand and pricing that it makes sense for us economically.
George Shapiro: I guess I have one more. The first margins usually are the lowest of the year. It doesn’t look like it should be any different this year given that buy-ins are going to be higher in subsequent quarters?
Scott Donnelly: I think that’s probably largely true, George.
Operator: We do have a question from the line of Jon Raviv with Citi. Please go ahead.
Jon Raviv: Maybe one last one on Aviation just maybe talk about pricing. I think one of the things that has held back pricing for you guys has been competing against use jets. So can you offer any color on how those conversations are going? Whether customers are now seeing more value in the new versus the used?
Scott Donnelly: Well, I think there is no question that the dynamic of used is available for sale has a knock-on impact in the low industry, including new jet sales. I’d say the good news is as we have seen now for some time, the number of used aircraft that are sort of current models that are relatively young aircraft with relatively low hours continues to get smaller. So you look at the activity in the used jet market, those aircraft tend to move pretty quickly. And there is certainly not the number of them out there that created some of the issues for us on new aircraft sales in the past. So the reality is there is not a whole lot of low-time relatively new jets out there that are competing for someone who wants to have a new jet who wants to have warranty, who wants to have a new aircraft to think about that as a five to seven-year asset. So I think we are certainly seeing less competition from the used side and I would expect that that will continue to be the case.
Jon Raviv: And how are you feeling about Longitude pricing going into entering into service? And then one more on the new products. How are you thinking about Hemisphere strategy at this point? Any updates there?
Scott Donnelly: Well, in Longitude, we are treating the same way that we are treating the rest of the aircraft. I mean, obviously, when you get through the certification here, there is an awful lot of activity on the aircraft. A lot of customers have been flying this thing. I think it’s an impressive aircraft from a performance standpoint. It’s best in class. It’s got a lot of features that are really impressing our customers when you get certification done so that we can really start moving aircraft into the market. But, again, we are trying to maintain the appropriate price integrity on that thing and make sure that we do it at a reasonable margin. Obviously, it’s a significant investment to bring an aircraft like that to the market and we need to make sure that we get a good return on it. In terms of Hemisphere, look, I think everybody knows there have been some issues around the engine that was slated for that aircraft. At this point we basically have suspended the program and are waiting to see how the engine plays out. And then based on that, we’ll make our decisions and move forward knowing what the performance of the engine is.
Jon Raviv: And then just last one, just going to the year we felt like 1Q is going to be a bit light due to some delivery timing, any of those deliveries kind of moved around? Or is it still fair to say that we should see incremental earnings improvement throughout the year off of this 1Q level?
Scott Donnelly: Well, I think with Q1 again, we feel good about where Q1 was in terms of both deliveries and order activity. Q1 is usually the lightest quarter, and as I kind of said with George, I think it’s fair to assume that we’ll see incremental volume as we move through the course of the year.
Operator: And we do have a question from the line of Drew Lipke with Stephens. Please go ahead.
Drew Lipke: Just circling back to an earlier question around Bell, understanding that Military can kind of mask the backlog trends that we are seeing within commercial, any color you can provide on just Bell commercial order trends and backlog and what we are seeing there?
Scott Donnelly: I think our order trend and backlog build continues to be positive. Really through the last year and into this year, the commercial market activity has been strong.
Drew Lipke: And then can you maybe just comment on what are the benefits of having industrial all under one roof here? Maybe what are the synergies that industrial brings to you from an overall portfolio perspective? And can you maybe quantify those synergies for us?
Scott Donnelly: I am not really sure how I would answer the question. I mean, it’s each of the businesses in Industrial are pretty sizable businesses. They’re pretty big players in their markets on their own right and that’s how we manage them. And I think they’re very competitive and very strong in their respective industries.
Drew Lipke: And then just last one on systems. What sort of opportunities are you seeing in terms of your unmanned portfolio with the administration’s push for more international sales? What does that opportunity pipeline look like for you?
Scott Donnelly: Well, I think there is always been a really significant international opportunity for Unmanned Systems, which not just our business but for all U.S. businesses that has been greatly impacted by our export policies. I think everybody will tell you that. And unfortunately, we see lots of opportunities that come and go every year, which are won by either European or other countries because of our export policies. So certainly the language or the rhetoric that we are hearing would be positive to allow U.S. companies to compete in that space, but that remains to be seen. The rhetoric sounds good. Whether that actually turns into policy and execution that allows us to compete in those international marks is still to be determined. But it’s been a huge hindrance to the business, and like I say, there is lots of business that’s done by the Russians, by the Chinese, by the Israelis, by other European countries that we are effectively blocked from participating.
Operator: And we do have a question from the line of Ronald Epstein with Bank of America. Please go ahead.
Ronald Epstein: Just a couple quick things. On the turboprop demand, what’s your sense on what's driving that? What’s bringing that back? Because it sort of mysteriously disappeared, and now it’s come back. What happened?
Scott Donnelly: I don’t know, Ron. Just demand went down, and then it came back. Look, I think international economies were obviously been struggling for a while, and I think a lot of these aircraft go into border patrol, and sort of Medevac, and a lot of sort of special applications, and a lot of foreign economies both government and the private sector were in a pretty tough spot. The U.S. dollar was extremely strong, which was a big problem. It wasn’t a question of do they want the aircraft or not. It was when the dollar strengthened like that, it made that acquisition just a lot more expensive for them. So I think as we have seen some weakening of the dollar and some strengthening of those economies, the intersection of that has generated the capability. So it’s not like we ever lost share or that we weren’t able to win deals. I think our aircraft both the King Air family and the Caravan family are highly sought after. They’re great aircraft. They meet that mission in both private and government sectors. It’s just it was tough economics for them, and I think again weakening dollar and strengthening economies for them is allowing them to go back to purchasing.
Ronald Epstein: Now as a follow on, SkyCourier, how is the program going? And you had a real nice launch customer. Have you seen kind of follow-on interest in the program since the launch?
Scott Donnelly: We have had a ton of inquiry, Ron. I think the notion that you could do - I mean, for years we refer to it as a twin Caravan. Right? I mean that space the Caravan fits today in that just a workhorse aircraft. We have, as you know, those things are used for cargo. They’re used for passengers all over the world. And the reputation the aircraft had, we have always had this notion of should you do a bigger one? Can you do a twin version of that? It’s always been sort of on the back burner and something that we have thought about. And I think the opportunity when FedEx said, we are serious about this, we really need to move into something that’s a larger aircraft, it was a perfect opportunity and a perfect customer to work with to go to find this thing. And clearly once it was announced, we were getting calls all over from both people that are interested in that cargo version as well as a 19-seat pass version of it. So I think it’s going to be a home run. We have got a great launch customer obviously, and we expect we are going to have really strong demand beyond that.
Ronald Epstein: And the development program is tracking where you expected to be roughly now?
Scott Donnelly: Yes, absolutely. We got through the wind tunnel work. So we are pretty happy with where the thing is. Remember, Ron, these are engines that exist. It’s avionics that exist. It’s construction, mechanical, aerodynamic work that’s right up our alley, and this is an aircraft we know how to go design it, we know how to go build it, and we don’t have to go invent something wildly new to do it. So the team knows the speed to market here is important, and there is nothing really standing in our way from making this a huge success and doing it on a pretty aggressive timeline.
Operator: And we do have a question from the line of George Shapiro with Shapiro Research. Please go ahead.
George Shapiro: Yes, I was just wondering in terms of the share buyback, are you going to do this evenly through the year? Are you going to try and do an accelerated buyback? If you can just give some perspective on that.
Scott Donnelly: Our assumptions right now, George, are that we are just going to continue to do it through the course of the year. I mean, that doesn’t preclude an ASR or something like that, but our plan is that we would probably just play it out over the course of the year.
Eric Salander: Okay. Ladies and gentlemen, thank you for joining us. And that concludes our call for today.
Operator: And ladies and gentlemen, that does conclude your conference for today. Thank you for using AT&T Executive Teleconference Service. You may now disconnect.